Operator: Thank you for standing by for CNinsure's first quarter 2013 earnings conference call. At this time all participants are in a listen-only mode. (Operator Instructions) For your information, this conference call is now being broadcasted live over the internet. Webcast replay will be available within 90 minutes after the conference is finished. Please visit the CNinsure IR website at ir.cninsure.net under the events and webcasts section. Today’s conference is being recorded. If you have any objections you may disconnect at any time. At this time I would now like to turn the meeting over to your host for today’s conference Ms. Oasis Qui, CNinsure's investor relations officer.
Oasis Qui: Welcome to our first quarter 2013 earnings conference call. The earnings results were released earlier today and are available on our IR website, as well as on Newswire. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. The accuracy of these statements may be impacted by a number of business risks and uncertainties that could cause our actual results to differ materially from those projected or anticipated. Such risks and uncertainties include but are not limited to those outlined in our filings with the SEC, including our registration statement on Form 20-F. We do not undertake any obligation to update this forward-looking information except as required under applicable law. Joining us today is our Chief Executive Officer, Mr. Chunlin Wang, and Chief Financial Officer, Mr. Peng Ge. They’ll walk you through our financial and operating performance in the first quarter 2013. And then they will take your questions after the prepared remarks. Now, I will turn the call over to Mr. Wang.
Chunlin Wang: [Chinese Language] [Interpreted] Hello, everyone. Thank you for joining us on the call. On today's agenda, our CFO Mr. Peng Ge and I will discuss the operational and financial highlights for the first quarter 2013 and share with you our business outlook for the rest of the year. We will take your questions after this. First of all, let’s take a look at how the industry performed during the first quarter of the year. Total insurance premiums grew 6.5% year over year of which P&C insurance maintained a solid growth of 16.3% while life insurance maintaining a policy growth of 22.9%. Although the insurance market saw a mild recovery, there were lot of challenges. For instance, fiercer competition among P&C insurance companies have resulted in a higher combined ratio and lower underwriting profit for many P&C insurance companies. Life insurance markets on the other hand feels the difficulties in insurance premiums and incentives to (inaudible) insurance and on attractive insurance products continued to record sluggish new policy sales and unexpected surge in policy maturity and surrender payments in the near term. The keywords of our growth strategies for 2013 are comprehensive financial service and market leadership. In favour of these challenges in the insurance market, on the one hand, we developed lots of efforts to maintain business growth and protect our market positioning. On the other hand, we’ve directed our transition to new areas of focus, i.e. development and promotion of CNPad to support mobile operation and expansion into major cities to support financial services every month. The financial and operational results for the first quarter demonstrated that we are on track to achieve our growth and made great achievements on the strategic transformation. During the first quarter of 2013 total net revenues grew 18.9% by beating our expectation although gross margin continued to decline as a result of increased market competition which translated into lower operating profit. We’re encouraged to see that the decline was at a slower pace as compared to the previous quarters and we believe that the count increase was temporary. As we gain traction in the new areas of focus we expect to see gradual improvement in top line and bottom line performance. Now let’s look at each of our three major business segment. Firstly the P&C insurance segment reported stellar growth of 24.1% year over year during the quarter, although gross margin was further squeezed due to high commission rate in the auto insurance market as a result of market competition. Secondly, the claims adjusting segment performed strongly with 19% revenue growth. Finally, resulting from stronger auto insurance related claims adjusting business which is attributable to a new cooperation model with seven insurance partners. In addition, we have taken measures to adequately control the operating costs in the claims adjusting business segment and saw an improved profit margin as a result. And thirdly, net revenues derived from the life insurance business segment were flat year over year during the quarter primary due to the net effect of the negative new policy sales and 12% growth in newer life insurance premiums. 13-month persistency ratio for term life insurance remained at above industry average level of over 18%. We’re encouraged by the achievements we made on our strategy of growing more synergy and comprehensive financial services into our business. In the first quarter of 2013 we continued enhancing the quotation engine of the mobile sales support system with the rate of accuracy into over 95%. As of March 31, 2013, we had sold 274 units of CNpads which contributed to over RMB19 million insurance premiums during the first quarter of 2013. In addition, as of the end of first quarter, we had some strong initial measures and the numbers of customers who had purchased wealth management products from us increased to 1,333 from 1,073 during the previous quarter with a value of wealth management products that was distributed during the first quarter exceeding RMB190 million. In the remainder of 2013, we continue to be dedicated to executing our growth strategies. First of all, we will continue to push forward the introduction of the CNpad nationwide and in the second quarter we will have further operation of CNpad simultaneously in more regions, including (inaudible) Hunan provinces. In the meantime, we will continue enhancing supporting capacity of the mobile sales support systems to match the growing business volume. Secondly, we are continuing to diversify our options to cater to customers’ demand and accelerate the adoption -- establishment of financial [plan and deals] while strengthening life insurance sales productivity. Thirdly, we will strengthen cooperation with channels claims adjusting and P&C business segments and push forward the independent claims adjusting model for auto insurance related claims adjusting business and the policy model for non-auto insurance related claims adjusting business step by step. 2013 is the year for major changes for CNinsure. The financial results for the first quarter 2013 fortified the confidence of the management. We believe the focused execution of the strategy of building e-commerce business and offering comprehensive financial service and products will contribute to our business growth and bring back online -- gradually back on growth track. Thank you. Now I would turn the call over to our CFO, Mr. Peng Ge.
Peng Ge: I am pleased to report our financial results for the first quarter 2013. The numbers I will refer to will be in RMB unless otherwise indicated. Total net revenue for the first quarter of 2013 was RMB401.3 million, up 18.9% from the year ago quarter. Total operating costs and expenses for the first quarter 2013 were RMB399.7 million, up 33.8% from the year ago quarter. Commissions and fees expenses for the first quarter 2013 were RMB297.2 million, up 39.2% from the year ago quarter. Selling expenses for the first quarter 2013 were RMB20.1 million, up 7.6% from the year ago quarter. General and administrative expenses for the first quarter 2013 were RMB82.4 million, up 23.8% from the year ago quarter. The increase for the first quarter 2013 was primarily due to increase in share-based compensation expenses and (inaudible) insurance expenses and depreciation expenses. As a result of the foregoing factors, operating income for the first quarter of 2013 was RMB1.6 million, down 95.8% from the year ago quarter. Non-GAAP operating income excluding share-based compensation expenses was RMB14.4 million for the first quarter 2013, down 66.3% from the year ago quarter. Non-GAAP operating margin was 3.6% for the first quarter 2013 compared to 5.7% for the year ago quarter. Interest income for the first quarter 2013 was RMB21.1 million, down 12.1% from the year ago quarter. The income tax expenses for the first quarter 2013 was RMB6.2 million, down 54.5% from the year ago quarter. [Technical Difficulties] We expect its total net revenues to grow by over 5% for the second quarter of 2013 compared to the corresponding period in 2012. [Technical Difficulties]…
Chunlin Wang: …the second quarter forecast reflects two factors. First of all, if you look at the performance of insurance companies, P&C insurance companies in the first quarter, actually they performed poorly during the first quarter and primarily due to the increased costs which turned their topics. So we are seeing a trend by the PRC and its local bureau that is pushing forward [Technical Difficulties] We expect the top line growth about 15% in 2014 and then 20% in 2015. And after 2015 we expect to grow about – over 20% and that may last another five years. And the growth forecasts were based on three events. First of all, we believe that the adjustment that we’ve made in the past couple of years have already met our expectation, and then secondly, based on the operational results of CNpad, we also believe that it’s the result of the (ph) our expectation and goal, and thirdly, we expect that the introduction of more diversified financial service and products growth have fully changed our life insurance and its contributions rose – there will be more contributions from these two growth engines in 2014, starting from 2014. We are confident that these two growth engines, i.e. the CNPad and comprehensive financial services strategies will contribute to CNinsure’s more enhanced leadership on market position, more enhanced market position in the next five years. In the second quarter both have of over 5% as kind of a – a more conservative forecast. So actual results might be higher.
Unidentified Analyst: Okay, thank you. How many CNpads did you sell in the first quarter and how many do you think you might sell in the second quarter?
Chunlin Wang: We sold 274 units of CNPads and which contributed about RMB19 million in terms of insurance premiums, and we think this number is a pretty good one. And actually we have – we are controlling the pace of use of CNpad on products so that there is more, there is better competition (ph) between the Dell and the supporting capacity of the system. So and this number of 274 has kind of exceeded our original target and in terms of the per unit sales, actually per unit sales has exceeded our target as well because originally we looked for a per unit sales of 300,000 and – but the first quarter exceeded this number. And for the second quarter, we look for a sales number of 500 units and we expect third quarter, starting from third quarter the number of sales will grow.
Operator: (Operator Instructions) Your next question comes from the line of Christy He from Morgan Stanley.
Christy He – Morgan Stanley: [Chinese Language]
Oasis Qui: The first question from Christy is regarding the commission rates. First of all commission rate of P&C business in the first quarter and the year ago numbers. And also she is asking about commission rate for our life insurance business in the first quarter.
Peng Ge: Our P&C business commission rate for the first quarter was 24% compared to 21.5% last year. The life insurance commission, potentially the commission for the new policies, the first year commission was 120% as compared to 110.3%.
Christy He – Morgan Stanley: [Chinese Language]
Peng Ge: [Chinese Language] The second question from Christy was regarding the commission rate – sorry, the gross margin in the first quarter our gross margin actually declined a little bit and resulting in the trend for the coming quarters. Actually the result for the declining gross margin kind of a result of a number, and as we explained the competition among the P&C insurance companies have become more intensified in the first quarter which resulted in an increase in the commission rate in the auto insurance market. And we have to pass on the increase in the commission rate to our agents. So this rate hasn’t changed but because of that has increased, so that resulted in a decline in our gross margin. And looking ahead, as Wang explained that, if we look at the operating results of the P&C insurance companies in the first quarter we can actually estimate that 60% to 70% of P&C insurance companies may suffer a lot by the end of the year. So that’s why starting from the second quarter of 2013 we see from the local PRC bureaus and the local industry commission are pushing forward a self-sustained among P&C insurance companies which intends to control the commission rate. So let’s see more in the market, we actually expect the gross margin will improve. We believe that the PRC will tighten its control over the market to avoid uneven low competition which have become quite obvious in the first quarter. So in order to the avoid cost of wars loss among P&C insurance companies. But of course the result of this control might be delayed to show and we expect we might see a more substantial result of these control policies in the third quarter.
Christy He – Morgan Stanley: [Chinese Language] My question is we are very pleased to see actually CNinsure has been selling a lot of CNpad and my question was what’s the percentage contribution into commission revenues currently from CNpad and what’s our expectation going forward in terms of revenue contribution for CNpad?
Chunlin Wang: [Chinese Language] The number of sales target for CNpad for 2013 is 10,000, even as above, as we explained just now we expect the sales to accelerate into the third quarter, so probably in terms of commission contributions it won’t be a huge number in this year. But starting from next year since we are looking at selling 20,000 to 30,000 units of CNpad in 2014, then the CNpad will make a more meaningful contribution to commission growth. And in terms of the number of sales for the coming years we actually expect the total number we can sell is 100,000 in the next five years. And starting from 2013 the contribution from CNpad will be over 50% of our commissions.
Christy He – Morgan Stanley: [Chinese Language] My last question, whether the management has actually repurchased any ADS on the open market during the last quarter?
Chunlin Wang: [Chinese Language] Well the company and the management will continue to purchase ADS on the open market going forward.
Operator: Your next question today comes from the line of Andy Nahas from Prospect Fund.
Andy Nahas – Prospect Fund: What wealth management products did you sell primarily in the first quarter and might it be affected by the Chinese government’s crackdown on certain wealth management products? Two, will the wealth management business for you going forward – will it be anyway better or worse and make sure is it still a commodity type of business and would it be recurring more – recurring revenue from those products?
Chunlin Wang: [Chinese Language] The product that we sell (inaudible) products, as we just got a license to distribute a couple of them, so right now we are doing research on this sales of this type of product. As a distributor we are kind of less affected by the policies or the regulations imposed by the China – the banking regulatory committee. And the questions of our question are more on that standardized products, so we can only have recurring commission from this product. But when the product becomes mature, our customers will continue to buy new products from us.
Operator: Your next question comes from the line of Andy Nahas from Prospect Fund.
Andy Nahas – Prospect Fund: You talked about the possibility of buying into an insurance company. I was wondering what the status of that was and then I think – I thought you have ownership in – party of the entity that owned the trust funds, I guess I was just wondering if there was any [leaseback] as well.
Chunlin Wang: [Chinese Language] We are invited in that growth to be one of the investors in the life insurance companies or, potential life insurance companies and we feel they will contact us and make some applications to the PRC for life insurance. So it’s still confused on what the progress right now. We are still waiting for a feedback from the PRC. We hear all about 20% in a company called [Cohe Investments]. And it’s finally engaged in the search on wealth management products. It’s an attractive company.